Operator: Good morning and good afternoon, ladies and gentlemen. And welcome to the Millicom Financial Results Conference Call. Today’s presentation will be hosted by Chief Executive Officer, Mauricio Ramos; and Tim Pennington, Chief Financial Officer. Following the formal presentation by Millicom’s management, an interactive Q&A session will be available. I would now like to hand the call over to Nicolas Didio, Head of Investor Relations. Please go ahead.
Nicolas Didio: Thank you. And welcome everyone to the Millicom 2016 second quarter results presentation. Today’s presentation materials can be found on our website, www.millicom.com. Before we start, I would like to remind everyone that the Safe Harbor Statement applies to this presentation and the subsequent Q&A session. With me today on this one-hour call are our CEO, Mauricio Ramos and Tim Pennington, our CFO. I will now hand over to Mauricio to give an overview of our Q2 2016 results and operational performance and strategy, after which Tim will take you through the financials, and we will finish with a Q&A session. With that, I hand over to Mauricio.
Mauricio Ramos: Good afternoon and good morning to all. Thanks for joining us today. Tim is on the call with me as usual. As many of you know, Nicol will be moving on to new professional challenges very soon. So I want to thank you, Nicol, for your great work here; all the best to you in your bright future. As many of you recall, back in October of last year, we disclosed that we had self-reported to the U.S. and Swedish authorities that potential improper payments may have been made on behalf of our joint-venture in Guatemala. We also said at that time that we had retained a law-firm Covington & Burling, which has also been in assistance since then by Kirkland & Ellis and by KPMG to conduct an independent assessment of our compliance policies and procedures. We are pleased to report to you today that this review has now concluded and it has not identified any matters requiring further investigation. That is of course good news. As within the organization and within diligent assessment, of course, the review has identified potential ways in which we can proactively strengthen our compliance program going forward like adding personnel resources and continue to strengthen our training program. And we will quickly and efficiently implement all of those recommendations. And we’re actually already moving very quickly. We recently announce the hiring of HL Rogers as our Chief Compliance Officer. HL will report directly to me and to the compliance and Business Ethics Committee of the Board of Directors. As you surely know by now, our commitment to the highest ethical and compliance standards is unequivocal and unwavering. Finally, with regards to the ongoing investigation by the U.S. authorities into the matter we self-reported back in October there is no new further news to report. The investigation is ongoing. You will have seen however, from our press release of May 9, that the office of the Swedish prosecutor has discontinued its preliminary investigation into the matter due to lack of jurisdiction. Let’s now as always focus on our Q2 results. As usual, I would like to highlight upfront our six key messages for this quarter, so very clear. Number one, on the quarter itself we draw strong smartphone and mobile data user adoption. We also intensified our cable build. Both of those are exactly what our long-term strategy is all about. But we saw a slower short-term revenue growth, even if it was accompanied by a continued improvement in our strong cash flow. Number two, at the long-term strategic level we continued to monetize mobile data, both through subscriber growth and growing ARPU. We’re delivering the goods on mobile data. Number three, in cable we are driving high growth, and thus we’re raising the stakes with a larger and faster build program. Number four, we’re in the midst of a drive to reconfigure our revenue mix; this is key. The voice and SMS businesses are decreasing faster than we expected. These are sunset businesses and this is making our revenue growth slowdown in the short-term. But, and this is a key point here, we continue to derive fast mobile data and cable growth. As this revenue reconfiguration unfolds, the legacy businesses we’ll wash out and we will keep the high-growth businesses. That’s the core of the strategy we’re implementing. Number five, at the same time we’re reconfiguring our cost structure as well, with order on order progress and you will see that in a minute. And we’re now turning up the Heat on further efficiency gains. We will give you a lot of detail today on that. Number six, on the guidance for the year, we updating our guidance to reflect the slower revenue growth, and initially anticipated, but we are confirming EBITDA growth guidance and highlighting the important optimizations in our CapEx for the year, increasing our cash flow expectation. So let’s get on with some details on each one of these six key messages. Let’s first take a look at the Q2 results. We had a very good mobile data subscriber uptake. By this I mean strong smartphone, mobile data and 4G subscriber uptake. That is the subscribers that drive mobile data usage rather than just mobile subscribers, as most of our markets already have over 100% basic mobile penetration. Indeed, we added 2 million smartphones about 1 million mobile data subscribers, and over 0.5 million 4G subscribers. This is a 40% increase in our 4G subscriber base versus the prior quarter. And this of course is the base that drives future mobile data growth. And the base to which we will drive penetration of our Tigo Shop app on our digital product roadmap with zero-rated notification, zero-rated discovery and our app-by-app pricing innovation. We have talked about these innovations in the past. In cable we are ramping up our build capacity, just as we said we would. In Q2, we built more than a 160,000 cable homes and we continue to decommission some of the legacy copper lines, replacing them quickly with fiber and cable. The net result is that the total number of homes passed continued to grow by 74,000 during the quarter. So we now have 7.8 million homes passed in our fixed network. Already, pretty close to our 8 million stated target for this year. Now, onto our Q2 financials, our service revenue growth was slower at 2.1%. We did expect and do expect the revenue growth will be softer in the short-term as a result of three main factors. The first one is a macro-economic slowdown in the region. The 2015 weakness in FX is now being seen in increased inflation, higher unemployment and lower investment across our footprint, consumer confidence is down. The second factor is simply intense competition in mobile in Colombia, that’s a recurring thing. And the third factor is a more obvious structural long-term trend. The legacy voice and SMS businesses continue to decline, like they have done everywhere else around the world. This is a large drag in our service revenue growth in this quarter and will be so for some quarters to come. Over the long-term however, the growth of our mobile data and cable businesses will weigh more and more and revamp stronger growth in our business. Our adjusted EBITDA growth was strong at almost 5% this quarter, keeping us well on track on our guidance for the year. Our adjusted EBITDA margin increased to almost 36% and I will come back to this later, as we continue to deliver on reconfiguring our cost structure at the same time as we reconfigure our revenue mix. Our equity free cash flow generation is strong and continues to improve. This is all about better CapEx allocation and procurement efficiencies. And we’ll tell you a little bit about what we are doing in that front as well. So all in all order that keeps us largely on track. Revenue growth is softer for sure, but data subscriber intake is very strong. EBITDA is on track to our full-year guidance and our cash flow is improving. So now let me spend some time on the good progress that we’re making in our strategic roadmap. On monetizing data, we are quite simply delivering on the promise. Mobile data subscribers are up, usage grew and ARPU increased. Indeed on the subscriber count if you focus on box one, we added more than 2 million smartphone users and over 0.5 million 4G subscribers, spread out about all throughout operations. In box two, you can see the data usage per subscriber increased by 9% in the quarter. That’s a very healthy rate. And most importantly in box three, you can see that just as we said we would, we have kept good price discipline. We are holding the line in not giving data away. As a result data ARPU increased 4% over the quarter. With volume usage and pricing app mobile data continued to grow as a business line segment over 25% year on year. Just as we said we would, we are effectively monetizing data. A key strategic element of indeed effectively monetizing mobile data comes from delivering it in a more cost efficient manner. This is all about delivering more and more traffic over 4G networks, where the production costs per gigabit is much lower, the user experience is better and consumers actually use more data. So we thought we would spend a little time on the status of our 4G networks, for you to understand what we’re doing in this area. In the last 12 months in Latin America our 4G network coverage has increased substantially growing from 26% of the population to 38% today. We expect to finish the year above 40%. In Latam, we now have 4G networks in all markets except El Salvador and Costa Rica. And across the region we now have a 4G base of almost 2 million subscribers. About a quarter of our traffic today is on our 4G networks, up from above 10% or so only a year ago. Now in cable, we’re growing fast and therefore we’re raising the stakes. We have said often that our opportunity is meaningful. It is the combination of two important factors. One, low pay TV and broad penetration across our markets, we have obviously said that. Two, the middle class in our markets is growing at CAGR of 5% per annum, a solid foundation for growth as you can see in box 2 in this page. And in box 3 on this page you can see that our cable revenue is growing at a rate of over 10% in the first-half of the year. This is because we’re adding and reconverting RGUs, while taking ARPU increases across the region. With these levels of execution and growth in this line of business, as you can see on box 4, we are raising our ambition. One, we are now building faster. By year end we expect to be ahead of the 8 million homes passed target that we have set for 2016. Two, we aim to get to our 10 million homes passed number that we have articulated earlier a year ahead of our target. We aim to reach that target now by 2018. And three, we have raised our longer-term network size ambition to 12 million homes passed up 2 million from the prior 10 million target. As we build our fixed platform, we see ourselves as a good go-to partner to deliver value-added services to our growing customer base. This is what we call internally our mediation class model. This is basically developing triple-win partnerships with top of the range solution and service providers. You may have seen it recently in our distribution partnership with Netflix and with Microsoft. For Tigo, those partnerships are key. They drive ARPU increase, churn reduction and increased positive ramp procession. They allow us to provide a more complete compelling and extensive offer to our customers. For our partners we provide access to over 30 million customers in the region. One of our key strengths lies indeed in our extensive distribution network in each country. In Latin America, we have over 700,000 points of sales and a billing relationship with the customers of course. And for our customers, we provide a more extensive range of products, services and solution. As you can see, all in all, we’re building a top-notch mobile 4G platform and a great state-of-the-art fixed network throughout our operations. These are the foundations of our long-term strategy as we have said often. As I have said earlier, we’re well under way in our two-fold reconfiguration of our P&L. On the one hand we’re reconfiguring our service revenue mix. This is ongoing every day and this is what this chart is all about. We’ve shown it to you before. While a structural decline in voice and SMS will continue and may accelerate, mobile data and cable are growing very strongly. Note that they now make almost 50% of our business and have a long runway to go and is the core of what we’re doing. The high growth businesses, mobile data and cable, make more and more of our revenue mix every quarter and the legacy businesses make less and less every quarter. Our secondary configuration is the optimization of our cost structure, which is what we show in this chart. We have tackled this head on as you know. You have heard us say often that we’re using three levers: one, synergies and we keep delivering on those and Tim will speak to those; two, our relentless focus on corporate cost reductions, to make us more nimble and efficient; if you call we had a run rate of about $260 million in 2014, which we have now brought down by about a $100 million, to a run rate of only $160 million today, and we think we still have a greater room to go there; and three, operational leverage. The chart on the right hand of this page actually speaks for itself. Quarter on quarter, every quarter, we have shown improvement on our last 12 month reported adjusted EBITDA margin. We’re already at around 35%. Now, we have also been working diligently on bringing forth a fourth lever into the toolkit. We have earlier this year kicked-off internally an efficiency and transformation project that we call internally Heat. This is a multi-year transformation program for the company. The program is complex and it’s widespread. It has 41 initiatives across seven areas and it includes nine major transformations. Each of the initiatives has a well identified owner, a set of specific KPIs and savings objectives. The goal of this transformation is to make the way we do business more efficient and simple, and save money of course. As examples for you the initiatives include: one, transforming our IT backend towards an OTT like infrastructure to reduce IFC [ph] cost, speed up the time to market and be more consumer centric; two, turning our business into a CapEx-light model and by that I mean, one, more managed services agreement, two, more network sharing agreements; and three, more externalizations of our tower infrastructure; three, implementing shared service centers across our footprint, we have the scale to do that across the region; four, streamlining our device supply chains to reduce of working capital. In the combination of all these transformations we expect $200 million in annual savings from this program. The purpose is to make us more nimble, more efficient and better capable. We have started executing on this program a few months ago, and you already see some of the benefits in our improved CapEx profile for this year. All of these initiatives are driven centrally, but executed locally. So for those of you who know Miami in the heat of the summer or follow American basketball, you can see where the inspiration for the name came from. If you do not, you can still see that we are turning up the heat on efficiency and effectiveness. These projects support our long-term drive for further EBITDA and OCF expansion, which as you know is a key focus of ours. Just to give you an example of what we mean, let me focus on one of the transformations, the IT transformation. We are decommissioning multiple legacy systems and transitioning to an OTT-like infrastructure. We’re modernizing our core to allow convergent billing and building a digital backend connected with digital APIs to enhance experience in all our applications. This OTT-IT infrastructure is also necessary for us to leverage big data in the future. And as all legacy systems come off the grid and we centralize and become more efficient, we will drive IT costs as a percentage of revenue from a staggering 5% today to more acceptable 3% in the mid-term. Now, let me take you back to the short-term and have a final word on our 2016 outlook. One, we expect the year to be softer on our top line growth, which we expect to be in the low- to mid-single-digit, we have already explained why it’s still that. Two, as we continued to focus on efficiency we will hit the mid- to high-single-digit EBITDA growth target, which we are strongly confirm. And three, as we have become smarter on CapEx allocation and procurement savings, we’re optimizing CapEx, bringing down our spend for the year to around $1.1 billion, supporting stronger cash flow generation. And with this, I will pass it on to Tim, who will go into the details of our financials.
Tim Pennington: Thank you, Mauricio. If I start on Slide 17, as Mauricio just said, this combination of market specific issues and the general macroeconomic slowdown in Latam has left us with lower service revenue growth as you’ve heard. But despite these challenges, we saw positive trends in underlying operating metrics of the business. We saw subscribers joining the network at an increasing volume and acceleration of the cable rollout. Also on margin continues to improve and as we put even greater emphasis on costs, so we do feel comfortable on the EBITDA and we are - and we’ve targeted our investment focus. And with procurement savings we expect our CapEx to be lower in 2016, which will support the growing cash flow and the strengthening capital structure. Before getting into the numbers, I want to pick up on the macro outlook. We commissioned the leading macroeconomic forecaster Oxford Economics to do a review for us on the macro outlook in the economics we operate in over the next 10 years. We don’t have time to go into the detail now, but in a nutshell we operate in some of the most attractive markets in Latin America with good economic fundamentals, albeit, we will see weakness in 2016 and 2017. We will arrange a separate briefing for analysts and investors for Oxford Economics to run through that report in the near future. So let me start by just anchoring the core financial metrics in Q2. Revenue grew organically 0.5%, while service revenue, which is shown here, grew by 2.1%. And just a word to link to the reported revenues, we are still suffering the impact of last year’s devaluations. So reported revenues in U.S. dollars were 5.7% lower. This FX drag on reported numbers will remain for us for another quarter, even if FX rates don’t move from the current level and they’ve been relatively stable in the last quarter. Adjusted EBITDA and the adjustments in this quarter relate to bad debt and to tax charges in the main; organic growth of 4.6% to $560 million. And we are very pleased to see the margin grow again in Q2, up 1.4 percentage points to 35.6%. And this now sits above our medium-term target of 35%, but it will be a few more quarters before we declare victory on the margin. Also as I just mentioned, CapEx will be lower. On our current run rate we’re already $50 million lower than the first-half of last year. So let me turn to service revenue. And it has been a mixed quarter. In El Salvador we saw a steep fall off, reflecting the security situation. Progress on the fixed business in Colombia was offset by the impact of the market slowdown in mobile, whilst in Tanzania we were affected by toughening regulatory environment and increased competition. This all added up to a 200 basis point slip in the rate of service revenue growth. But, let me turn to the next slide to try and explain it through the underlying drivers. On this slide, on slide 21, gives you a bit more granularity on the service revenues. Couple of things to highlight, the impact of signal blocking plus a new tax in El Salvador can be clearly seen. A year ago, we had 1.4% service revenue growth. It’s now negative 3.7%. That’s nearly 5 percentage point swing. Guatemala was also constrained by a lack of patents on the camera surveillance project. And in Colombia, we saw the mobile business slip further into negative revenue growth 4.3% down in Q2, although this was offset by a good performance in cable. So overall we saw a 0.6% service revenue growth in the quarter. Now, excluding Colombia, South America had a decent quarter for us, Paraguay is now well on track. It responded very well to the remedial action taken over the last two years by Jose and his team. And Bolivia is growing well, driven by an extraordinary growth in the smartphone adoption. Africa continues to be a bright spot also. And we’re seeing good momentum, not just in revenues but also in EBITDA. Q2 was a very respectable 10% service revenue growth. So, now I want to pick up on the comments made by Mauricio and focus on the cost for a few slides. This is not a new religion. We’ve been focusing hard on cost for the last couple of years. I think our managements of the central cost are evident of that. But I want to shed a bit of light on other initiatives we’ve undertaken under the umbrella of Project Heat. We spend just over $1 billion each quarter. About 40% of that is direct costs. These are things like mobile termination costs, handsets, programming costs. We manage these carefully by managing the gross margin in the business. G&A expenses represent around 30% of the cost and they represent principally IT network cost, external services, corporate cost, etcetera. And then finally, we’ve got sales and marketing costs, things like commissions our sales-force advertising promotion are just over 28%. Overall, what we’re targeting to do is shave off a 100 basis points to 200 basis points from our G&A and 100 basis points to 150 basis points out of our sales and marketing cost. Moving on to EBITDA, the usual EBITDA bridge here. First thing to note is that the FX drag is still having quite a big impact on reported numbers. I think the second thing to note is Zantel, the business we acquired in Tanzania, it was profitable for the second successive quarter. And we know are around of 50% of the run rate targeted in the acquisition. Now looking at the organic EBITDA, I told it was a solid quarter; a bit of slowdown from Latam, principally Central America and Colombia, but more than offset by improvements in Paraguay, Bolivia and Africa. And pleasing to see improvement from Africa. Our EBITDA there is $64 million in the quarter with a margin of 28.9%. The improvements were across the board and we last saw this level of profitability back in Q2, 2014. So it’s good to see Africa delivering the better returns. I want to spend a moment now just to explain what has happened in Colombia. On the face of it, the margin improvement is below what we might have expected. In the first-half of the year the margin in Colombia was 28.9%. And now this is 1 percentage point better than last year. And there is lot going on inside these numbers. And in fact, we have seen very big improvement in the underlying UNE margin, some 73.4 percentage points. And this is benefited from the integration we have undertaken and we’ve talked about many times in the last couple of quarters. Unfortunately, the improvement has been almost fully offset by a decline in mobile. Our mobile costs have increased by 190 basis points, which is almost fully offset the gains we have made in the fixed business. Clearly driving further margin improvement in Colombia remains a priority for the second-half of 2016. We’ve also been working hard on CapEx and on the next slide you can see - we can claim some significant success in this area, not just to achieve procurement savings, but also to ensure that capital is invested in the right areas. As this slide show we expect CapEx to be around $150 million below last year, about half of that benefit coming out of procurement savings, and the balance coming from small CapEx and targeted investments. Moreover, we see an increasing proportion going to the cable business. This supports the increased target of 12 million homes passed just set out by Mauricio. In mobile, we slowed right down on 3G investments in favor of 4G coverage expansion. And as was highlighted earlier, we are rapidly moving ahead with that. We have also made some good progress in IT, where the progressive rollouts of our convergent billing system. Okay, so a quick wrap-up on the P&L, cash flow net debt position at the end of Q2. No much comment on P&L in this quarter. Interest is higher than last year on costs - the cost of the Swedish bond transaction, plus debt we held in local currency is largely floating rates and rates have been rising. So we now expect the interest charge for the year to be around $450 million. Positive benefits in others and associates were mainly non-cash adjustments. The usual chart shows cash flow. A note, this is the first-half cash flow. Our cash OCF margin is now at 13.2%, this is after $120 million of working capital swing, most of which occurred in Q1. You will recall we tend to see working capital flow out in the first-half and then flow back in, in the next second-half. I don’t really expect that to be very different this year. And tax will remain in line with our expectations for the full year around about $270 million interest, I’ve just commenced on in dividends to minorities are lower. Finally, net debt seen a few movements up and down, Q2 is usually the weakest quarter as we pay the group dividend during May. But this year, we have offset the impact with disposals. So, on a leverage basis we remain inside our target. We’re at 2-times net debt-to-EBITDA and 2.3 times on a proportionate basis. So with that, let me hand back to Mauricio to wrap up.
Mauricio Ramos: Thank you, Tim. So as a conclusion, one, all-in-all a quarter that keeps us largely on track, revenue growth is softer, data subscriber intake is stronger, EBITDA is on track to our full-year guidance and our cash flow is improving. Number two, on our long-term strategy, we can say that it’s simply on track. We are undertaking two-fold reconfiguration process. Revenue is driven more and more from data and cable with gains on every quarter. And we are undertaking a significant transformation that is also reconfiguring our cost base at the same time. And three, we revised our full year outlook and revenue, but we have confirmed EBITDA with increasing cash flow. And with that as a wrap-up, we are ready now to take some questions.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Stephen Bechade from Citi. Please go ahead. Your line is open.
Stephen Bechade: Hi, yes, good afternoon. I’ve got three questions. The first one is on $200 million OpEx from CapEx savings in Project Heat. If you were to dispose off your African operations, how much of the $200 million would you keep afterwards? My second question is on the optimization of CapEx. Can you point out any countries in particular where we should expect CapEx to decline? And my third question is, I think you’ve added four new non-execs during the quarter, could you just briefly comment on what each of them bring is? Thank you.
Mauricio Ramos: Sure. Great questions, thank you, and very straight forward answers. The first one on hit, it is 95% Latin America. So that gives you an idea to the rest of your question. Number two, on the CapEx optimization, it’s across the footprint. And it is because it is largely driven, as I said, from centralizing our CTIO functions. One of the first things that we did when we started this new phase of the company is centralize and bring a stronger CTIO function into the group and that will provide a good segue in a minute into your last question. So you have seen perhaps if you do the math in last 12 months, we’ve optimized CapEx by around $150 million, if you do the math that’s where you’re going to come out. And that comes out, about 50% of that is procurement sales. And that’s the resource of using our scale to centralize procurements and as a result of that attain price reductions on equipment, CPEs and the rest. About 25% comes from smarter capacity management, i.e., that is focusing the investment largely on mobile network investment on the sites that drive the most traffic and moving a lot of the traffic to the new 4G networks, where the cost of delivering that bid is a fraction of our 20% of delivering it over 3G networks. So rather than going for coverage, we’re going for smart CapEx in capacity-based management. And the last bucket, about 25% of that is the actually the beginnings of the IT transformation that is a part of the Heat program that we were alluding. And that’s got a lot to do with retiring legacy systems, standardizing the new systems and centralizing the IT spend into the new systems. And that’s beginning to yield quite a bit of results. And the last question on indeed my team, it’s geared towards more focused and more nimble execution. So we’ll have seen that we’ve added a Chief Operating Officer position for Latin America. We’ve asked Esteban Iriarte, our GM Colombia to step up to that position. And that allows me then a team with Xavier, our CTIO; Esteban, our Chief Operating Officer; and Tim, our Chief Financial Officer to be very focused on execution. And that is just a right way to drive the business towards more focused execution.
Tim Pennington: We also brought on four new directors at the AGM in May. And I would say they are bringing great - we’re very fortunate to have them first of all. They’re bringing really sort of strong business focus to us. Janet Davidson has great experience in IT and IT transformations; help us a lot. José Miguel García built a fixed mobile convergence business. And again it’s very relevant to the way we operate. We have a new Chairman, Tom Boardman, who brings a wealth of experience from operating all over the world. And Simon Duffy, who brings a lot of financial discipline and experience to us, having also worked all over the world in telcos. So I think we’re very fortunate we got a good board.
Mauricio Ramos: We had our strategy retrieved with the newly formed board at a couple of weeks ago. And we spent about a day-and-a-half together with the new board on and the rest of the board and my senior management. And we just are very-aligned on the execution of the strategy that we’ve outlined to you about a year ago. We had full support on the execution of that strategy. And we’re just in a very good place in terms of alignment with the board and what we’re doing.
Stephen Bechade: Great, thanks.
Operator: Our next question comes from Mathieu Robilliard from Barclays. Please go ahead. Your line is open.
Mathieu Robilliard: Yes, good afternoon. Thank you for taking the question. So first with regards to the competitive environment, you highlighted clearly that it has deteriorated in Tanzania and that it remains quite intense in Colombia. If you could give us a little bit of color as to how you see that developing in the next few quarters. And then, maybe a bit off the chart, but do you have any exposure to the pound in terms of the corporate cost structure and as the recent movement, is the recent movement something that can be a tailwind for the next few quarters? Thank you.
Tim Pennington: All right, we do have some exposure to the pound, when we have some head office cost there based in London. But it’s not that significant in the overall scheme of things. I mean, we have a lot of cost in Euros. We have cost in sterling, but we also have a lot in dollars, so it will help us for sure but it won’t redefine us.
Mauricio Ramos: Listen, on the competitive environment in Tanzania and Colombia. Let’s start out with Tanzania. Indeed, it’s an increasing competitive environment and we never shy away from making those things clear to you and give you color. Indeed, the level of competition that we’re seeing from the new entrant and the effect it’s having on some of our competitors is rippling through the market. It’s a competitive environment, having said that however, we continue to deliver quite strongly in Tanzania. We got strong revenue growth where we’re picking up on margin and we’re gaining subscribers in Tanzania. And by that, we’re picking up some market share gains there. So our long-term outlook for Tanzania is positive on the margins and the margin expansion, but we remain cautious on the level of competition in that marketplace. Colombia is a continuation of the competitive environment that we’ve talked about for the last few quarters. Colombia has a combination of factors that are affecting performance, there on the mobile mostly. A softer macro environment, there was a massive devaluation took place last year. The effects of that on the real economy are beginning to be seen in the marketplace with increasing inflation, consumer confidence slowing down. And in Colombia, of course, you have the regulatory matters that we talked about in the past and a very strong price competition. The one thing that’s important to keep in mind in Colombia as we look into our business into the future is that this is the one market where mobile weighs the less of our footprint other than Costa Rica of course, where 50% of our business in Colombia is actually a fixed business, combination of a large B2B business and a large residential cable business that we’re growing. And Colombia is the market where indeed the largest B2B and fixed opportunity exists, with the network build that is yielding quite a bit of returns going forward and that will allow us to have a stronger base for our mobile network. So as we keep the short-term in mind for the mobile business in Colombia, we got to balance that out with a very strong and very promising fixed network business. Now, just to finalize your answer, your question, and put everything on the table, on the mobile business in Colombia, we expect to see continued strong competition, there is no doubt about that. But we’re holding on pricing, you’ve seen us do that. We are holding on pricing that’s thing number one that we’re doing. Number two thing that we’re doing is we’re focusing our mobile emphasis on digital subscribers, that’s the core of what we do. We’re gaining 4G subscribers out of the 0.5 million 4G subscribers that I spoke about earlier, about 150,000 came from Colombia. So we’re gaining share on participation in that high-growth digital subscriber base even in mobile. And we’re just going to brace ourselves and weather this one out.
Mathieu Robilliard: Thank you very much.
Operator: Our next question comes from Stefan Gauffin from Nordea bank. Please go ahead. Your line is open.
Stefan Gauffin: Yes, a couple of questions. First, if we start with Project Heat, you still haven’t changed your midterm margin target of 35%, although you are above this level. And given your ambitions in the Project Heat there should be room to raise this target, so any comments around that. Secondly, a little bit more detailed question, it’s mentioned in the report that the El Salvador margin was impacted by taxes not passed on to customers. How much of the margin contraction is coming from this, is this a problem that is expected to persist or do you have a solution for that?
Mauricio Ramos: Let me tackle little bit of the first one and then Tim can help me out on the rest. So on us reaching our 35% EBITDA margin in a shorter timeframe than we had anticipated, adorn us for doing what we said we were going to do ahead of time. So, yes, we take that one. We did hit that number ahead of time. And it does indeed beg the question of what is next. The reason we wanted to bring heat to your attention. It is a project that we’ve been working on for quite a while. We started out back in July of last year, take that off to the team towards the end of the year and we’re beginning to implement it. The reason we wanted to bring it out to your attention is precisely so that you understand that this is the project that would underpin further margin expansion at EBITDA and at the OCF level, because we’ve been pulling on three levers and this is our fourth lever. So this is a way of saying to you, this is how we are going to do it going forward. And on El Salvador tax, I mean, it is indeed that the tax and revenue is difficult to pass on to consumers in a highly competitive market.
Tim Pennington: It’s a very competitive market. The tax is being levied in order to support the fight against the security solution we got there. It has cost us, where you can see from the revenues - service revenues it only costs us five points of service revenue. And in EBITDA terms that is sort of close to about 150 basis points on our EBITDA. Is this long-term? It will settle out. It will settle out over time, but I think it will take several quarters before it does settle out.
Stefan Gauffin: Okay. Thank you.
Operator: Our next question comes from Andreas Joelsson from DNB. Please go ahead. Your line is open.
Andreas Joelsson: Yes. Just a question on overall subscriber intake, it slows down a little bit in the quarter and is there is a sort of explanation to that?
Mauricio Ramos: Hey, thanks for that question, Andreas, because it actually allows me to highlight the way with you the intake on subscribers. In most of the markets we operate in and Africa is an exception to this, of course, because in Africa you still have the possibility to raise basic mobile penetration a little bit. In most of the markets we operate in, the metric that we are focusing, is the one that’s completely aligned with our strategy of monetizing and focusing on mobile data. And in the quarter, we added about 2 million smartphone users and about 1 million mobile data users as I said, with about 600 4G net-adds on our 4G network. So from our point of view the intake of subscribers is quite strong. In the metric that matters the most, it is the one that allows us over the long-term to monetize data, which is the business that we are focusing for the future. I hope that gives you quite a bit more clarity and visibility on how we keep track of our progress, when it comes to subscribers. So on mobile data, we think this quarter, we hit it just about in all cylinders. The subscribers are up, the usage is up, and the ARPU is up.
Andreas Joelsson: Very clear, and if I may ask a second question, you shouldn’t read everything that you see in the papers, but there have been a few sort of media speculation regarding Africa and disposals. Could you give your take on that, please?
Mauricio Ramos: Sure. Listen, just to go back on the big picture context and on what we’ve said on this call and to all of you repeatedly, I think sometime last year we said our focus on Africa was squarely operational, and that we would endeavor and promise indeed to make Africa operating free cash flow breakeven this year in 2016. We’ve done nothing but that. And indeed you see that Africa has had a fantastic first-half with service revenue holding strong and margin expansion allowing us now to sit really comfortable on our Africa operations and see a business that is growing its margins. It’s well beyond being operating free cash flow given. Now, what has happened indeed is that because we executed the transaction around DRC in such an expeditious and good manner to be frank with you, we’ve been getting a lot of inbound calls around Africa. And there has been a lot of market speculation around Africa. The way we see it, we see it in a business that is improving quarter-on-quarter operationally. And because of this large number of calls there is a lot of interest from the number of parties on those businesses. That’s a good place to be. Now, whether we choose or not to execute on any of those calls will be largely a function of whether that yields a better return for our shareholders is then us continuing to execute on a pretty strong operational plan.
Andreas Joelsson: Very clear. Thank you.
Operator: Our next question comes from Sergey Dluzhevskiy from Gabelli & Company. Please go ahead. Your line is open.
Sergey Dluzhevskiy: Good morning. Couple of questions if I may, first question on your B2B strategy, you had some commentary in the press release about data centers. But maybe if you could comment in greater detail on your target B2B market, the strategies that you’re pursuing and what kind of opportunities you see in B2B over the next few years. And I’ll ask another question.
Mauricio Ramos: So, sitting here with us is Xavier Rocoplan, who is our CTIO and the person that I asked to be here, because we thought he will give you a lot of detail on Heat. So he can help me out with the remainder of the answer to you here in our B2B strategy. At the bigger picture level, our B2B revenues are percentage of our overall revenue is just around 15%. If you compare that with other telcos that have large market shares like we do everywhere we operate, we’re underweight in terms of our B2B as a percentage of revenue. And we think there is a significant amount of opportunity for us to increase our B2B market share on our growth. And that’s where we have a very specific B2B strategy. The B2B strategy is segmented on multinationals, on large corporations and on small offices, medium offices. Now, that’s how we segment this, because that requires specific attention for each of one of those segments. The data center opportunity is obviously catered to one of those specifics of two, those specific segments. It’s coupled; the strategy is also coupled with the increase of the fixed network. Of course, a more of a fixed network that we have throughout Latin America the more we are going to be able to offer B2B services to small offices and small businesses. In the regions we operate the networks for cable are typically laid out in residential areas that pass or are not distinct or different from the small office and medium office businesses. So by definition, we have an opportunity there. And all these fiber that that we’re laying also allows us to then cater to multinationals and large corporations. And it is to those specifically that our data center opportunity is catered to. And you may have seen us release that we’ve just launched a tier 3 data center in Paraguay and that we’re doing the same across Africa and elsewhere in Latin America precisely because we see an opportunity to focus on that part of the segment. And Xavier, do you want to add anything to that?
Xavier Rocoplan: Just the - I mean the data center is a big part of our strategy for infrastructure. I mean, we started this around 12 to 18 months ago. We launched the first one in Paraguay indeed and we’re going to roll out a few of these facilities in our market in Latin America, because indeed we can use that for first internal - to cater for internal needs. And then we leverage the infrastructure of our connectivity and hosting services, paving the way for even more services on the B2B segment.
Mauricio Ramos: Hopefully, that gives a little bit of clarity there.
Sergey Dluzhevskiy: Yes, great. And my second question is M&A related and also it relates to Colombia to a degree. Maybe you could share your thoughts on how you view that market from potential M&A perspective. I guess, it would probably be mostly on fixed side and cable side potentially. And also given your presence in Colombia and given your presence in Central America, do you have any interest to potentially branch out further into Caribbean region?
Mauricio Ramos: Okay. So the first part of the question on Colombia; Colombia for us is a build or buy market, quite simply put, in terms of our network size. We think we are much smaller in network size in Colombia than the opportunity allows. Colombia is a market of about 45 million inhabitants; call it 13 million to 14 million homes. And our network reaches today about 4.5 million homes. So clearly they’re groomed to have a bigger fixed network in Colombia by far. And Colombia is a country that’s growing well. It’s a country that has a lot of diversified cities, as well as small medium sized cities across its footprint, looks a lot more like the U.S. really. It’s on a typical highly concentrated Latin American market. So for us it is build or buy. And we are building in Colombia aggressively as you will have seen, not only from our remarks, but from the actual reports. And in that context comes the publically announced decision by the Council of Bogotá to put up the Bogotá telco, ETB, for sale. And we publically said that we would have an interest in that opportunity. It’s a conceptual general interest of course. It’s very early in the process. And a lot of things need still to be made specific and clear. But in that context of build or buy, it’s an opportunity that we’ll certainly spend some time on and analyze diligently. And if the terms and everything continues to be positive, obviously, it’s something that we will look out with interest. In terms of the rest of the region, you can imagine that we’re diligent all the time in making sure that our radar screen is attuned to all the opportunities everywhere. But you’ve also seen that we reiterate time and time again that we got massive organic growth opportunity in our businesses, because mobile data is not well penetrated yet in all the markets we operate, because fixed broadband is only around 40% and penetrated in the markets we operate and it’s going fast. And even pay TV is also very under penetrated. So there is a lot of growth for us in our key organic footprint. Hope that gives you a bit of color of how we see and what we are focused on.
Sergey Dluzhevskiy: Thank you.
Operator: Our next question comes from Luigi Minerva from HSBC. Please go ahead. Your line is open.
Luigi Minerva: Yes, good afternoon. The first question is on the Project Heat, if you can tell us in how many years you would reach the $200 million target, and how much of those $200 million is actual savings, and how much will be basically reinvested in the business? And the second question is on the cable business, especially in countries where macro is quite adverse, whether you can show us some evidence that cable is behaving more defensively than your mobile part of the business? Thank you.
Mauricio Ramos: Sure. Let me start with cable and perhaps we can tackle Heat in a minute. Tim will prepare that answer in a second. Perhaps, the better way to give you a view on how defensive indeed the cable is, is to just give you an indication, a high-level indication of our churn. And if you know this market it will mean a lot to you. Our overall churn on our fixed network, for cable, across our markets on average is just shy of 2%, which is a pretty good churn rate for these markets that we operate in. That’s how resilient that business is. So that churn level is pretty good for Latin American standards and that gives you an idea of how resilient this business is. As you can imagine with economics for that business that have a cost per home passed of less than a $100 and churn that is at around only 2% or below 2%. The economic value of that client over its lifetime cycle is pretty good, and that in and of itself underpins our cable strategy. But of course, because we’re a mobile operator it makes sense beyond just the cable business. It makes sense, because it allows us to become drive a bit offensive on the convergence opportunity and also because this is the network upon which we can operate a lot of the mobile traffic that we just been talking about. 4G networks and further networks, mobile networks are largely dependent on how large the chunk of fixed network and fiber laid underground. That gives you an idea of how contributive this business is to our long-term strategy. And going back to Heat…
Tim Pennington: I think, it’s probably before I answer the more detail part of the question, for Xavier to just give a little bit more of a conceptual framework of what we’re trying to achieve in Heat, because I think it’s important.
Xavier Rocoplan: Yes. Maybe, I would like first to give some - to get back to the genesis and the background of Heat. I mean, Heat is really an operational excellence program. It’s based on the fact that we believe that by operating better and more digitally in way we will be able to improve both the customer experience and actually be more efficient at the same time. So in the second-half of last year we felt it was really important to create an umbrella program to deliver on the execution of initiatives that are usually a little bit more long-term. So Heat is really a combination of transformation as we call them and so more technical initiatives.
Tim Pennington: And within that we got about 41 different programs. On average these programs run sort of two to three years. And we’re operating regionally in an inflationary environment. So I don’t think it’s as straight forward. We have to position the business in order to achieve both our kind of short-term EBITDA targets, but our long-term EBITDA aspirations as well. We’re not at this stage going to sort of subdivide that $200 million target into OpEx and CapEx and working capital saving. But clearly, we would expect the delivery of this to be sort of beneficial across all parts of our business and that’s what we’re really trying to target.
Luigi Minerva: And so for the - at least for 2016, I presume that your adjusted EBITDA guidance already incorporates the work in progress on Heat?
Tim Pennington: Yes. It’s unchanged. I think, as Mauricio said, we’re not changing our guidance for EBITDA for 2016. And obviously for 2017 we will sort of address that when we get there.
Xavier Rocoplan: Yes. Listen, just being even more transparent to you the benefits of Heat are small in 2016, but they are there. We are optimizing our guidance for CapEx for this year. We would have not been able to do that had we not started working on Heat at the end of last year, kicked that off to the team at the end of last year and started to gain some of the benefits this year. And as you can imagine the first wave of benefits are those that come from optimization of the supply chain. That’s the easiest low hanging fruit that we put in place. And that’s largely because we’ve centralized the CTIO functions out of Miami. So there is a little bit ahead that is helping us bring and optimize CapEx this year. We would have not been able to do that otherwise.
Luigi Minerva: Thank you for the explanation. Thank you.
Operator: Our last question will come from Mr. Bill Miller from Hartwell. Please go ahead. Your line is open.
William Miller: I’ll get back to Colombia for half a second. How for long in the integration of Colombia do you think we are? You’ve got 29%, let’s say EBITDA margins. You are well below average there. You have indicated we’d have a $750 million present value cost savings; additional $200 million will obviously involve Colombia. But how long do you think it will take you to get to a more normal corporate margin and how far along are we on the $750 million?
Tim Pennington: Thanks, Bill, for the question. I think as I sort of indicated in my sort of part of the presentation, we have seen some good benefits out of the integration. We’ve seen sort of north of 300 basis points of margin improvement on the cable business. Unfortunately, the mobile business has been tough. And that is easing into a number of those benefits we’ve seen. I think that’s a combination of some macro weakness and some competitive weakness. We don’t expect that to live forever, but it’s hard to in the short-term to sort of forecast when that might turn. We’re not - we certainly, I think, been very successful in unveiling these synergies. And I think the team down in Colombia has done a great job there. But we’re not finished there. We’re continuing to focus on it. We’ll be right there morphing into the Project Heat transformation that we’re doing. And therein, undoubtedly more sort of synergies through Heat and indeed through the initiatives that the local team are undertaking.
Mauricio Ramos: Did that give you a little bit of color, Bill?
William Miller: Can you actually cut cost and get rid of people easily or make them more productive in some way?
Tim Pennington: As anything, we can cut cost. I’m not sure if it’s wise to sort of speculate on how we do it. But it’s - I think there is more we can do there for sure.
Mauricio Ramos: Let me give a little bit perhaps more of a visibility and color on our overall integration process in Colombia, which I think has been nothing short of very well executed. We have, as you have heard me say, a great relationship with our partners, a great relationship with the community of medigin [ph] there. And part of the integration process in Colombia, now moves on to streamlining, indeed the way we do business down there. And we got a couple of projects that will get us there that are on track. Obviously, I want to be cautious on the exact nature of those projects. More importantly, in Colombia going forward, we have massive IT transformation that will allow us to streamline our costs down there. Everything I said with regards to turning our IT infrastructure into an OTT infrastructure has a large relevance in Colombia. Whereas, you can imagine there is a multiple-number of legacy systems, both at the network level and at the IT level. And our focus today is indeed as you point out, on synergies around the operation itself, but also on synergies and integration around our IT infrastructure. And that’s where we’re putting a lot of focus on: IT infrastructure, managed services and networks sharing in Colombia. Those are the three buckets out of which you’re going to see a lot of improvement in Colombia going forward. Now, they’re not easy pickings, it requires lot of work. IT integrations, managed services and network sharing are all things that require a lot of work. So it’s not something that will be delivered on a quarterly basis.
William Miller: That’s great. Thanks very much.
Mauricio Ramos: And if I go any further there, I will be on the press tomorrow on Colombia, Bill.
Operator: At this time we will not be taking any further questions, so I would like to hand the call back to Mr. Mauricio Ramos. Please go ahead.
Mauricio Ramos: Well, thank you, everybody, for taking the time to listen to us today. I know that we had given you a lot to chew on with Heat and our prospects going forward. We’re very happy with the way the execution of our strategy is playing out. We realize that there are some short-term hits here, but we remain very, very focused; very, very committed; and unwavering that this is the right long-term strategy for this business. We will reconfigure our revenue base and we are asked to reconfiguring our cost structure. So we’re going to come out of this quite strong and we appreciate your time today.
Operator: This concludes Millicom’s financial results conference call. Thank you for your participation. You may now disconnect.